Operator: Good morning and welcome to Builders FirstSource's Third Quarter 2017 Earnings Conference Call. Today's conference is being recorded and will be archived at www.bldr.com. And it is now my pleasure to introduce Ms. Jennifer Pasquino, Senior Vice President, Investor Relations.
Jennifer Pasquino - Builders FirstSource, Inc.: Thank you. Good morning and welcome to the Builders FirstSource third quarter 2017 earnings conference call. Joining me today on the call is Floyd Sherman, Chief Executive Officer; Chad Crow, President and Chief Operating Officer; and Peter Jackson, Chief Financial Officer. A copy of the slide presentation referenced on this call is available on the Investor Relations section of the Builders FirstSource website at www.bldr.com. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. Any reproduction of this call, in whole or in part, is not permitted without the prior written authorization of Builders FirstSource. As a reminder, this conference call is being recorded today, November 9, 2017. Builders FirstSource issued a press release after the market close yesterday. If you don't have a copy, you can find it on our website. Before we begin, I would like to remind you that during the course of this conference call, we may make statements concerning the company's future prospects, financial results, business strategies and industry trends. Such statements are considered forward-looking statements under the Private Securities Litigation Reform Act of 1995 and are subject to certain risks and uncertainties which could cause actual results to differ materially from expectations. Please refer to our most recent Form 10-K filed with the SEC and other reports for more information on those risks. The company undertakes no obligation to publicly update or revise any forward-looking statements. The company will discuss adjusted results on this call. We've provided reconciliations of non-GAAP financial measures to their GAAP equivalents in our earnings press release and detailed explanations of non-GAAP financial measures in the Form 8-K filed yesterday, both of which are on our website. At this time, it is my pleasure to turn the call over to Mr. Floyd Sherman.
Floyd F. Sherman - Builders FirstSource, Inc.: Thank you and good morning. Welcome to our third quarter of 2017 earnings call. I will start with a brief update on our third quarter results and then turn the call over to Chad who will provide an update on our execution against our 2017 priorities, as well as our longer-term growth initiatives. Finally, Peter will discuss our financial results in more detail. After our closing comments regarding our outlook, we'll take your questions. Let's start on page 4. Our sales for the quarter were $1.9 billion. We had one fewer sales day in the third quarter of 2017 over the third quarter of 2016. Therefore, we'll discuss the sales per day growth in the quarter. We're very pleased that our sales per day in the quarter, excluding closed locations, grew 9.5% over 2016, and was benefited by approximately 6.9% as a result of the impact of commodity price inflation on our sales. Sales volume per day, excluding closed locations, grew approximately 4.7% in the new residential homebuilding end market and approximately 1.7% in the repair and remodel end market. Excluding Alaska, whose economy continues to be impacted by oil prices and drilling slowdown, our R&R growth in the lower 48 was up 4%. Hurricanes Harvey and Irma took their toll on Houston, Florida, and the Southeast region of the United States, where about 13% of our annual sales are concentrated. Thanks to our hardworking associates, we relatively quickly returned to full operation with only minimal physical damage to our locations. However, given that many of our stores in these regions were closed for several days during and after the storm, sales in the quarter were affected. And we estimate the storms impacted the company's sales by $18 million to $20 million and EBITDA by approximately $4 million. Now turning to slide 5, in the quarter, we continued to experience rapidly rising commodity prices. Framing lumber and sheet good prices increased 21.4% and 43.1% since 2016 year-end respectively, most of which occurred in Q3. Higher lumber prices are contributing to our sales. However, rapid price fluctuations caused some short-term growth profit margin compression. However, higher prices are good for our business in the long run. I'm pleased to report that our investments in manufacturing capacity are continuing to pay off with 8.4% growth of sales in manufactured products in the quarter faster than the volume growth in the single-family end market. Moving on to page 6 with an overview of the macro housing markets, the outlook for new residential housing market continues to be bright. We've reached approximately 1.2 million annual starts, with approximately 835,000 of those being single-family starts. This remains about 25% below the historic average, just growing now to levels we have historically seen in recessionary troughs. As a reminder, we are lapping strong single-family starts growth in the fourth quarter of 2016 of approximately 13% and are estimating mid-single-digit growth in the single family homebuilding market for the balance of 2017, bringing the full-year 2017 growth in the mid-to-high single-digit range. We believe there are still multiple years of growth ahead of us and are very confident in the continued strength of the housing market. I'll now turn it over to Chad who will discuss our 2017 priorities and our look at future growth.
M. Chad Crow - Builders FirstSource, Inc.: Thank you, Floyd. Good morning. Starting on page 7, I would like to share our progress against our 2017 priorities, including our increased focus on profitable market share expansion and improved operational efficiencies. We are still making significant new investments to drive our growth initiatives, including 110 net additional sales associates year-to-date. We are committed to these investments that will drive long-term results and plan to continue our sales force expansion initiatives. There remains significant opportunities to increase the reach and penetration of our higher-margin value-added products. Year-to-date, we have opened three new truss plants with plans to open additional locations later this year and into next. The demand for these products will continue to rise as homebuilders look for ways to build homes more efficiently, especially with the well-publicized labor shortages and extended lead times. We are also increasing our focus on implementing best practices across the organization in order to drive incremental operational efficiencies. Our logistics and back office automation initiatives are underway in our existing infrastructure, customer connectivity, and logistical capabilities should make these particularly rewarding investments. Our continued focus on cash generation will allow us to fund these initiatives as well as continue to deleverage the balance sheet. We generated $41 million of cash in the quarter, which is in line with our 2017 guidance of generating $145 million to $155 million of free cash flow and reducing our leverage ratio to 4 times by yearend. Finally, we are only as strong as our people and we are committed to continuing to attract, train and retain the best associates in the industry and develop our future leaders. Moving to page 8, we continue to build out our plans to accelerate growth and further expand profitability with the primary focus on creating long-term shareholder value. We believe that as the housing market returns to historical averages over the next four to six years, along with our focus on operational excellence and growing our value-added product categories, it will enable us to double 2016 EBITDA and cash flow, generate approximately $1 billion in cash over that time period and result in an EPS between $2 and $2.50. We have a strong platform that is well positioned to take advantage of accelerating growth and improved market conditions. On top of that, we are executing initiatives intended to expand profit margins and cash flow. We plan to continue to leverage our national manufacturing footprint and differentiated capabilities to grow our higher margin value-added products faster than the market over the next several years. In addition to growing our value-added products, we see opportunities to increasingly leverage our strength, including unparalleled size, geographic footprint and end market exposure to grow and capture market share. This growth model, coupled with unlocking the opportunities we have identified with our operational excellence initiatives such as distribution and logistics, pricing and margin management, back office efficiencies and system enhancements, provides opportunities for us to meaningfully accelerate profit growth. As a result of our focus on growth and operational efficiencies, we believe we have a realistic approach that creates cash generation and reinvestment opportunities. Our balanced approach to growth investments and ongoing debt reduction is designed to allow us to increase investment in organic and acquisitive growth, while achieving and maintaining our long-term leverage target of 2.5 times to 3.5 times EBITDA. Before I turn the call over to Peter, I would like to make a few comments related to the executive transition we announced in August. As you are aware, Floyd Sherman will be stepping down as CEO at the end of the year. Over his 16-year tenure at Builders, Floyd was instrumental in building the platform and business we currently have, turning adversity into opportunity, and positioning the business to take advantage of the growth potential we have today. I would like to thank Floyd for his contributions to Builders FirstSource, and I am pleased that he will remain as an employee advisor to the company through March 2019 and will also remain on our board as we execute the company's growth strategy in the coming years. I will now turn the call over to Peter who will review the financial results in more detail.
Peter Jackson - Builders FirstSource, Inc.: Thank you, Chad. Good morning, everyone. Starting on slide 10, I will first discuss the current quarter results and then touch briefly on our year-to-date results on page 11. As a reminder, we have included adjusted figures to normalize for one-time integration, closure and other costs. We had one less sales day in the third quarter of 2017 than prior year, so I will speak to our results on a sales per day basis. For the third quarter, we reported net sales of $1.9 billion, a 9.5% increase compared to the third quarter of 2016, excluding the impact of closed locations and including an estimated 6.9% benefit from commodity price inflation. We are pleased with the growth despite the impact of Hurricanes Harvey and Irma, given that many of our stores in these regions were closed for several days during and after the storms. We estimate that our sales volume grew approximately 4.6% in the single-family, new residential homebuilding end market and 1.7% in the repair and remodel end market with market-driven declines in multi-family and other. Our gross margin percentage was 24.4%, down approximately 60 basis points from 25% in the third quarter of 2016. The decrease on a year-over-year basis was largely attributable to the rapid run-up in commodity prices. Framing lumber and sheet good prices increased 9.8% and 25.7% in the third quarter, respectively. Rapid commodity inflation will cause short-term gross margin percentage compression when prices are rising and margin percentage expansion when prices are falling due to the short-term pricing commitments we provide our customers versus the volatility of the commodity markets. I expect that as commodity prices stabilize, the company will benefit from higher commodity prices, enhancing our go-forward profitability. Our SG&A percentage of sales decreased by 40 basis points on a year-over-year basis. The reduction was largely driven by cost leverage achieved while absorbing investments in growth initiatives, including additional sales associates and new facilities. Interest expense for the quarter was $33.8 million compared to adjusted interest expense of $39 million in 2016. The $5.2 million reduction was largely due to multiple transactions the company executed to lower our go-forward cash interest expense, to extend our maturity profile, and to address our capital structure. These transactions have reduced our annual cash interest expense by over $30 million annually and extended our weighted average long-term debt maturity. Adjusted income tax expense increased by $29 million compared to 2016, although the company does not expect to pay federal cash taxes in 2017, given its NOL carryforwards. Tax expense increased year-over-year as a result of the company no longer maintaining a full valuation allowance reserve against its deferred tax assets. Adjusted net income for the quarter was $45.5 million or $0.39 per diluted share compared to adjusted net income of $69.2 million or 61% (sic) [$0.61] per diluted share in the third quarter of 2016. More than all of the reduction on a year-over-year basis can be attributed to the income tax expense issues I just discussed. Third quarter adjusted EBITDA grew $3.8 million to $122 million compared to prior year. Sales growth generated profit growth in the quarter offset by investments in growth initiatives and short-term commodity inflation impact on gross margins. Additionally, we estimated that the hurricanes negatively impacted EBITDA by about $4 million. Switching now to the year-to-date financial results, please turn to page 11. Year-to-date net sales were $5.3 billion, a 9.3% increase compared to year-to-date 2016, excluding the impact of closed locations. We estimate that our sales volume grew approximately 5.9% in the single-family new residential homebuilding end market and approximately 3.2% in the repair and remodel end market. Offset by declines in multi-family and other. Commodity price inflation benefited sales by an estimated 5.8%. Year-to-date gross margin percentage was 24.7%, a decrease of approximately 30 points from 2016. The decrease on a year-over-year basis was largely driven by gross profit margin compression on our commodity products due to inflation in the lumber and lumber sheet good markets. To reiterate, commodity inflation will generally benefit the company's operating results in the long term although it can cause short-term margin compression. Year-to-date SG&A as a percentage of sales decreased by 70 basis points on a year-over-year basis. The reduction was largely attributable to the decline in depreciation and amortization on acquired ProBuild assets and cost leverage realized. Adjusted net income was $100.6 million or $0.87 per diluted share compared to adjusted net income of $75.8 million or $0.67 per diluted share year-to-date 2016. The 34% increase was largely driven by EBITDA growth, $21.7 million in interest expense savings, $16.1 million decline in depreciation and amortization related to ProBuild assets offset by previously discussed increase in income tax accruals. Year-to-date adjusted EBITDA grew $25.5 million to $322.3 million compared to year-to-date 2016. The 8.5% year-over-year improvement was largely driven by sales growth again while absorbing the impacts and costs of commodity inflation, hurricanes in the period, and the investments we are making in growth initiatives that we have mentioned. Turning to page 12, we expect free cash flow generation will be used to drive down our debt in 2017. We believe this will be driven by EBITDA growth and a continued focus on working capital efficiency, which is estimated to run between 9% and 10% of incremental sales in the long term. We expect to invest in our business through capital expenditures at approximately 1% of sales. Upon further review with our tax planning team, we expect our current NOL tax assets to shelter us from paying federal cash taxes in 2017. As a result of the opportunistic capital markets transactions executed in the last year-and-a-half, cash interest should be reduced by approximately $130 million in 2017. We expect one-time ProBuild integration and conversion costs of approximately $20 million. And as a result, we are reconfirming our full-year cash flow guidance of approximately $145 million to $155 million, although perhaps more to the low end of the range. Our business typically uses cash in the first half of the year and generates cash in the second half of the year due to seasonal working capital needs. The company generated cash from operations and investing of $48.1 million in the third quarter. Due to seasonal working capital needs in the first quarter (sic) [first half], cash used in operations and investing was $50.9 million year-to-date. This was in line with our expectations and annual guidance of $145 million to $155 million in positive cash flow from operations and investing activities for the full year of 2017. We will utilize this cash to pay down debt and expect to reduce our leverage ratio to 4 times by year-end. Turning to page 13, total liquidity at September 30, 2017 was $769 million, consisting of net borrowing availability under the revolving credit facility and cash on hand, which is more than sufficient for our operating needs. We have an extended debt maturity profile with no maturities until 2022 and a weighted average long-term debt maturity of 6.4 years. We are committed to further debt reduction, and the terms of our debt allow the company to repay our most expensive bonds first, benefiting future free cash flow. We have made progress on improving our leverage ratio. The net debt to adjusted EBITDA ratio on a trailing 12-month basis as of September 30, 2017 was 4.6 times, a 0.7 times reduction from prior year, which is consistent with our focus on deleveraging the balance sheet and increasing cash flow and improving liquidity. I would like to update our 2017 guidance. As a reminder, higher lumber and sheet goods pricing is beneficial to our business in the long term, resulting in higher gross margin and EBITDA dollars. Commodity inflation can cause short-term gross margin percentage compression when prices are rising and margin percentage expansion when prices are falling due to the short-term pricing commitments we provide customers versus the volatility of the commodity market. However, commodity price inflation generally benefits the company's operating results in the long term, creating higher gross margin and EBITDA dollars. We expect benefit from higher commodity prices in the future and have not changed our long-term goal of doubling the 2016 EBITDA. We will not sacrifice our growth initiatives to short-term margin issues that will ultimately reverse, reconfirming our investment strategy in new facilities, and additional sales professionals. We expect sales growth in the fourth quarter to be up high-single digits on a sales per day basis over prior year with about half coming from volume and half from commodity inflation. Gross margin is expected to be relatively flat to Q3 as we continue to feel the short-term margin compression from the recent commodity hyperinflation. We will continue to focus on generating even more cost leverage, while not sacrificing investing on growth initiatives. Overall, we expect to see EBITDA growth of 5% to 10% and cash flow generation of approximately $200 million in the fourth quarter. Given the recent commodity inflation impacts on our business, we are pleased with these financial results. I will now turn the call back over to Chad for his closing comments.
M. Chad Crow - Builders FirstSource, Inc.: Thank you, Peter. I'm excited about the outlook for Builders FirstSource. We are continuing to leverage our scale and look for opportunities to grow the top line and profits. The new residential housing market continues to show strength, and we are continuing on the path of deleveraging our balance sheet, which we believe will give us flexibility to continue to fund our growth initiatives. We have laid out a plan to double EBITDA and cash flow and are excited about the prospects the future holds. I'll now turn the call over to the operator for Q&A.
Operator: Thank you. And we can take our first question from Nishu Sood with Deutsche Bank. Please go ahead. Your line is open.
Nishu Sood - Deutsche Bank Securities, Inc.: Thank you. And so first, I wanted to ask about the recovery of sales pace in the hurricane-affected areas. I think you laid out pretty well what happened in the third quarter. Where are we in terms of getting back to the kind of pre-event sales pace in Texas, Florida, and in the Southeast?
Floyd F. Sherman - Builders FirstSource, Inc.: Our guys did an incredible job of bouncing back in both those areas that were impacted by the hurricanes, Nishu. I would say we're back to levels of where we were pre-hurricane. Obviously, we were shut down for probably on average about six days. And then, it was a little slow for a week or two after that, but so far it looks like we've returned to normal business levels.
Nishu Sood - Deutsche Bank Securities, Inc.: Got it. And the importance of, obviously, your products in rebuilding efforts, would you anticipate some tailwind? Obviously, two pretty major events happening at the same time implies some significant rebuilding. As you look across your product portfolio, even what you've seen since the events, do you anticipate any benefit from that in 2018?
Floyd F. Sherman - Builders FirstSource, Inc.: I think it'll definitely be a net positive for us. I think we'll probably start seeing it in 2018. As you know, it will take a while for folks to get their insurance money. And in these markets, as there are in many markets, there's still the issue of labor shortages. But I do think we'll start seeing some bounce in 2018 and no doubt over the next couple of years, it will be a net positive for us.
Nishu Sood - Deutsche Bank Securities, Inc.: Got it. And the second question was on the rising lumber prices, obviously pretty sharp, and I think you discussed that pretty well just the effects on the third quarter. My question was about the effect of the rising lumber and panel prices on the value proposition of your pre-fabricated products. As lumber prices rise, that obviously means that a larger percentage of – obviously the price would go up on the pre-fab products as well, how does that affect the value proposition as you're out there in the market relative to site framing?
Peter Jackson - Builders FirstSource, Inc.: Well, I think, you have increases on both sides. You see the increases from the labor shortages and the inflation on the labor side, as well as the inflation on the lumber side. I think it's a pretty balanced impact net-net. The overall desire of homebuilders to be more efficient, we think, outweighs it in the long run.
Nishu Sood - Deutsche Bank Securities, Inc.: Got it. Great. Thank you.
Operator: Thank you. And we can go next to Mike Dahl with Barclays. Please go ahead. Your line is open.
Michael Dahl - Barclays Capital, Inc.: Hi. Thanks for taking my questions. Looking at some of the impact in the third quarter and into the fourth quarter around some of the growth investments, and I know you had outlined these earlier in the year, could you just give us an update on how these are rolling out and whether or not there have been incremental investments since the second quarter discussion?
Peter Jackson - Builders FirstSource, Inc.: Sure. Yeah. So, this year, we've got about $7.5 million in total in the investments we've made in those growth areas, about almost $3 million in the third quarter of incremental year-on-year investment. Again, focused in those two areas of salespeople and value-added facility expansion, so the additional facilities that we've added. We feel like the progress has been very solid, very positive, and we're making progress in both those areas.
Michael Dahl - Barclays Capital, Inc.: Okay. I guess what I should have asked is, the spend that we're seeing come through, does that represent additional opportunities that you've identified over the last few months, or is it simply more of a timing issue on the spend around some of the initial investments?
M. Chad Crow - Builders FirstSource, Inc.: Well, I'll comment on the sales force growth. We're going to keep pushing that initiative. We think it's very important to recruit new people into our industry. It is an aging workforce, and we're going to push hard over the next couple years to develop the bench strength we need. And so we have no intentions of tapping the brakes on recruiting and training sales force, and that's probably the bulk of the cost that you're seeing as far as an investment standpoint. And then as Peter mentioned, the other large piece is the opening of new manufacturing facilities which we're obviously going to keep doing as well. So, I guess, the short answer to your question is no, not necessarily new opportunities that we've seen in the last few months. This was something we had planned for the year and this is something we're going to keep doing.
Peter Jackson - Builders FirstSource, Inc.: Just from a timing perspective it ramped up in earnest at the beginning of the third quarter last year, so you're seeing the lapping of that ramp up to the full load.
Michael Dahl - Barclays Capital, Inc.: Okay. Got it. My next question, understanding that, obviously, you've been dealing with a difficult environment in terms of some of the rapid moves in your inflation and that's causing some disruption in the profitability near term. Given what you're seeing today, I hear you on the fourth quarter commentary, as we look into early 2018, realistically when do you think we should see a return to more of the 25% type of gross margin range?
Peter Jackson - Builders FirstSource, Inc.: Well, I think as we look at the commodity movements always volatile, difficult to forecast, but based on where we are today I think we feel confident going into Q1 and Q2 we're going to see a nice recovery back to where we think are far more normal gross margin levels. Although it takes a little while to get fully back, but I think in that Q1, Q2 range we're feeling very good. We'd love higher commodity prices in the long run.
Michael Dahl - Barclays Capital, Inc.: Right. Okay, thanks.
Operator: Thank you. And next we can go to Trey Grooms with Stephens, Inc. Please go ahead. Your line is open.
Trey H. Grooms - Stephens, Inc.: Hey, good morning.
Floyd F. Sherman - Builders FirstSource, Inc.: Good morning, Trey.
Trey H. Grooms - Stephens, Inc.: First off, I want to congratulate you, Floyd, on your retirement, it's been great working with you over the years and we wish you the best.
Floyd F. Sherman - Builders FirstSource, Inc.: Thank you. I appreciate it.
Trey H. Grooms - Stephens, Inc.: And also, it's great working with you, Chad, as well. (30: 07)
Floyd F. Sherman - Builders FirstSource, Inc.: It's also been great working with you guys.
M. Chad Crow - Builders FirstSource, Inc.: What's that, Trey?
Trey H. Grooms - Stephens, Inc.: Thank you. Okay. I'll move on to questions. So I guess, first, I know lumbers, there's been a lot of attention there but just with the folks that you guys talk to, I mean, you've got your finger on the pulse of what's going on in the lumber industry as well as anybody, but also understanding that things happen and things move around, but just from where you sit today, what are your expectations as we kind of look into the next several months as it relates to lumber prices? Understanding, I mean, you don't have the crystal ball, but, you do – and as I said, you guys usually have as good a feel as anybody.
M. Chad Crow - Builders FirstSource, Inc.: I'll jump in, and Floyd may want to add on, but I would say from the framing lumber standpoint, it feels pretty solid. I think, we're going to see prices hold pretty much where they are right now. I think, OSB and panels probably have some slack in it. They're pretty elevated and you may see a pullback on those. That's typically the most volatile of our commodity product categories as the OSB. But generally speaking, I think, we'll see some healthy lumber prices for most of 2018.
Floyd F. Sherman - Builders FirstSource, Inc.: Yeah, and I would agree with what Chad had to say.
Trey H. Grooms - Stephens, Inc.: Okay. Thanks. Thanks for that. Appreciate it. And then also just kind of outside of lumber, as we're moving into next year, I know a lot of folks out there, manufacturers, are seeing inflation on their raws as well. And just – and there's price increases in the market and that sort of thing. But just outside of lumber, if you could just give us any thoughts around your expectations around the other things that you guys are providing to your customers, window and doors, drywall, et cetera. Just any color on directionally how we should be thinking about that.
M. Chad Crow - Builders FirstSource, Inc.: I think, in general, we'll probably – and we've already started discussions with suppliers. We'll probably see price increases next year on most of those product categories you mentioned in the 2% to 3% range.
Trey H. Grooms - Stephens, Inc.: 2% to 3%. Okay. Great. And then lastly, I guess – and this is kind of, I guess, a little bit bigger picture, but – and maybe it's a little premature as well, but just with the discussions you're having with your customers kind of looking into next spring, and again, I know it's early, but just any initial thoughts or conversations you guys are having with the builders and your customers in the new res market this year and kind of looking into next year rather. And then the moving pieces there, specifically new single-family versus multi and then starter home versus move-ups, and how labor is ultimately playing a role, just any high-level color you could give us around some of those conversations and how they're going.
M. Chad Crow - Builders FirstSource, Inc.: It feels like the demand next year is still going to be strong. We still feel good about kind of that high single-digit growth in single-family. I think, it's going to be another rough year in multi-family. You're probably looking to multi-family down another 5% to 10% year-over-year, and I think R&R will be fairly steady, 3%, 4% growth. Labor will still be tight. Somehow, we've figured out ways to build more houses every year, So slowly we're figuring out the labor problem should play well into the – sort of, truss and panel side of the business next year as it has been. So, we feel good about it. We really haven't come off our forecast of kind of that high single-digit growth in single-family over the next few years.
Trey H. Grooms - Stephens, Inc.: Great. That's super helpful. And, again, congrats to both of you, and I'll pass it on. Thank you.
Operator: Thank you. And we can go next to Jay McCanless with Wedbush. Please go ahead. Your line is open.
Jay McCanless - Wedbush Securities, Inc.: Thanks for taking my questions. And definitely I want to echo what Trey said for both Floyd and Chad. Great accomplishment for both you, guys.
M. Chad Crow - Builders FirstSource, Inc.: Thanks, Jay.
Jay McCanless - Wedbush Securities, Inc.: The first question I had, could you give me the breakout of the gross sales change for both R&R and single-family for the third quarter?
Peter Jackson - Builders FirstSource, Inc.: Yeah. So, we saw in the third quarter, on a sales per day, about 4.7% growth in single-family, down about almost 13% in multi-family, R&R about 1.7% up (34: 47) Alaska.
Floyd F. Sherman - Builders FirstSource, Inc.: But when you make the adjustment for Alaska, that brings our R&R in the rest of the 48 states in which we operate back to about a 4% increase.
Peter Jackson - Builders FirstSource, Inc.: Right.
Jay McCanless - Wedbush Securities, Inc.: Okay.
Peter Jackson - Builders FirstSource, Inc.: To a total volume growth up for about 2.5% (35: 10).
Jay McCanless - Wedbush Securities, Inc.: 2.5% on volume growth. Okay. That actually plays into my second question. Is there a certain level in terms of crude oil pricing we could watch for Alaska to get better? And if so, is there any type of lag, three-month, six-month lag from oil hitting a certain price and then Alaska starting to get better, that we can (35: 32) or price level where we can focus.
M. Chad Crow - Builders FirstSource, Inc.: Yeah. That's a tough question, Jay. I don't know that we have the answer on what's kind of the trigger point on oil prices. I would think there would be some sort of lag. As you know, it takes a little bit of time to get the drilling activities ramped up again. But I don't have a good answer for you on that one. Sorry.
Jay McCanless - Wedbush Securities, Inc.: Okay. Okay. And then the last question I had. And I apologize if I missed this, but the expenses as a percentage of sales, where do guys expect that for 4Q? And also maybe could you talk a little bit about how much you've invested in these salespeople thus far with this initiative, and what type of payback period you're expecting with it?
M. Chad Crow - Builders FirstSource, Inc.: I'll attack your second part first and then let Peter address the first one. Year-to-date we're at about, I think it's about $6 million that we've invested in the sales force. Year-to-date it's about $5 million that we've invested in the sales force. So far, those guys in general are covering about half of their commission cost. So with some of them haven't been here all that long, we feel pretty good about that. So overall I think those guys are probably – well, they're certainly north of $150 million in sales they've generated, but 110 net new associates we feel pretty good about. And we certainly think it's worth the investment when you're looking out three, four years in the future of our business.
Jay McCanless - Wedbush Securities, Inc.: Got it.
Peter Jackson - Builders FirstSource, Inc.: And then back on SG&A. We do anticipate seeing improved SG&A performance versus prior year and versus Q3. So our comp will continue to get better as we continue to leverage really the cost that we have in our fixed pool.
Jay McCanless - Wedbush Securities, Inc.: Okay. Thanks for taking my questions.
Operator: Thank you. And we can go next to Keith Hughes with SunTrust. Please go ahead. Your line is open.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: Thank you. A question also on SG&A. You've shown some really nice leverage this year really in all quarters and per your last comments in the fourth. As we turn to 2018, will that number continue to show leverage accelerate given that you've done some investments and picked up -what's your kind of rough view for 2018?
Peter Jackson - Builders FirstSource, Inc.: Yeah. So I would say generally we have seen positive leverage. We will continue to see positive leverage. Some of the benefits we've seen is related to the commodity price. That's mathematically true, but we also anticipate in the long run to see leverage from our incremental sales at a roughly 70% rate. So we do expect to see – it's about 70% variable on SG&A. So we expect to see leverage there. And part of our long-term strategy as we drive the business forward is really focused around operational initiatives to help us increase efficiency and improve that leverage over time. So, yes.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: Okay. And on the long-term plan that you highlighted last call, we have a slide on it today. Can you give us a few of the underlying metrics in terms of getting to the EPS numbers such as D&A, interest expense, share count, things like that, so we can work down from EBITDA to your $2.00 to $2.50 in EPS.
Peter Jackson - Builders FirstSource, Inc.: Yeah. We're not ready to break down those components for you yet. We're at the point right now of working through the specific initiatives that are going to drive the key points here. We've got some models internally, but over the next few quarters, we'll start giving you more details about what we're thinking we're going to work towards. We could talk a little bit more about some of the initiatives we've got going but not ready to break down those components yet.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: Okay. Thank you.
Operator: Thank you. And we can go next to John Baugh with Stifel. Please go ahead. Your line is open.
John Allen Baugh - Stifel, Nicolaus & Co., Inc.: Thank you. Floyd, a distinguished career. Enjoy retirement.
Floyd F. Sherman - Builders FirstSource, Inc.: Thank you, John.
John Allen Baugh - Stifel, Nicolaus & Co., Inc.: Questions. I think there was a reference that the commodity was the primary influence on gross margin, and I don't recall if that was Q3 or year-to-date or both maybe. Could you discuss the pluses and minuses, which I get net to a slight drag, of the other influences on gross margin for the quarter and/or year-to-date?
Peter Jackson - Builders FirstSource, Inc.: Yeah. I mean, the major items that you'll see in the numbers is with the growth being so quick on the lumber side, there's a mix component, the Lumber & Sheet Goods side. So that's a important part. We've also talked a little bit about the impact of the less sales per day, so that was a slight headwind; the hurricanes, obviously, another headwind; and the investments we made, we think were important investments in terms of the growth of the business on a go-forward basis. Those are those two main things we've talked about in terms of expanding the sales force and expanding our value-added footprint.
M. Chad Crow - Builders FirstSource, Inc.: And I'll just add, the window plant being shut down in Houston was a decent drag on our Window category in the quarter as well, which is one of higher margin.
Floyd F. Sherman - Builders FirstSource, Inc.: Well, and in addition to the Window plant in Houston, we have a very, very large millwork presence in Houston. That was really impacted by the hurricane. We, unfortunately, got caught in a real high water area. And so we lost considerable days in the Houston millwork operation. And that was also true in Florida, our millwork operations were really impacted. It took a while to get back. As you know, in Florida, the main issue we faced was a loss of power. But as Chad said earlier, we're now back running full steam. We're back on normal track and things looked very good in October from my point of view.
Peter Jackson - Builders FirstSource, Inc.: And I...
Floyd F. Sherman - Builders FirstSource, Inc.: I'm very, very pleased with what I see.
Peter Jackson - Builders FirstSource, Inc.: Yeah. Floyd's comments really underscore the business' ability to overcome those unexpected events and really show both sales growth and profit growth in a very disruptive quarter.
John Allen Baugh - Stifel, Nicolaus & Co., Inc.: Yeah. Obviously a lot of moving parts in Q3. I guess, kind of furthering that question, assuming we don't have disruptions like this in the future and assuming lumber settles down, would the mix shift to pre-fab or manufactured components allow gross margins, everything being equal, to go up or are there other influences that may get in the way of that?
Peter Jackson - Builders FirstSource, Inc.: Well, over time, the improved profitability of manufactured components will absolutely improve our mix over time. We see a significant margin trade-up on any movement towards manufactured products, absolutely.
John Allen Baugh - Stifel, Nicolaus & Co., Inc.: Okay. And then just to put it in context, 110 sales people net additional, what's the gross number of sales people today?
M. Chad Crow - Builders FirstSource, Inc.: We had about 1,700 at the beginning of the year, outside sales force.
John Allen Baugh - Stifel, Nicolaus & Co., Inc.: Okay. And then my final question is simply any guide on the future ProBuild D&A numbers or percentages changes?
Peter Jackson - Builders FirstSource, Inc.: We're pretty well rolled out of that this quarter. There is a modest decline in the future, but we're through the bulk of it now.
John Allen Baugh - Stifel, Nicolaus & Co., Inc.: Great. Thank you. Good luck.
Peter Jackson - Builders FirstSource, Inc.: Thank you.
Operator: Thank you. And we can go next to Matt McCall with Seaport Global Securities. Please go ahead. Your line is open.
Matt McCall - Seaport Global Securities LLC: Thanks. Good morning, everybody.
Peter Jackson - Builders FirstSource, Inc.: Morning, Matt.
M. Chad Crow - Builders FirstSource, Inc.: Morning.
Matt McCall - Seaport Global Securities LLC: Now, I'll add my congratulations to both you guys. Well done, Floyd, and look forward to many years, Chad. So I guess I'm going to follow up on a few of these just to make sure I understand. Peter, did you say that we should view your SG&A as 70% variable and that's kind of the way to look at the leverage opportunity?
Peter Jackson - Builders FirstSource, Inc.: As an internal rule of thumb, that's generally what we use. Obviously, that's modified by significant initiatives and investments, but, yeah, as an operating rule of thumb.
Matt McCall - Seaport Global Securities LLC: Okay. That's kind of where I was going with it. So you've got the sales adds, the new locations, and you quantify this year I think $5 million or $6 million incremental spend. So is that the way to kind of look at it? We've got the 70% that's variable, and we got to add in the components like these growth initiatives to get to kind of a true number so that that fixed component is kind of growing. Is that the way to look at it?
Peter Jackson - Builders FirstSource, Inc.: Yeah. We think that's a reasonable approach to model it.
Matt McCall - Seaport Global Securities LLC: Okay. And, Chad, you said I think to John's question you added 110 sales people to your 1,700 sales people base, and it sounds like that's going to continue. So as we kind of look out and model 2018, is the expectation something similar next year from a total spend perspective? I assume was that $5 million just the salespeople?
M. Chad Crow - Builders FirstSource, Inc.: Correct.
Matt McCall - Seaport Global Securities LLC: Okay. And so is that a good way to think about next year? You said you're going to continue to invest. You think that's still a good opportunity?
M. Chad Crow - Builders FirstSource, Inc.: Yeah. I think so, $5 million to $6 million probably next year.
Matt McCall - Seaport Global Securities LLC: Okay. And then how many – you talked about new locations. What's been the – sorry, if I missed it, but what's been the total addition to-date in locations and how should we think about that looking out to 2018?
M. Chad Crow - Builders FirstSource, Inc.: Well, this year we've opened three new truss plants, and we've got three more slated for the back half of this year and into next year, obviously still working on some budgeting for next year. And also we've invested in some of the equipment in those truss plants and other truss plants as well to increase the productivity and the efficiencies. So that's always been our focus, and we will continue to focus on the manufacturing side of the business. So, no, I would say over the next few years, you're probably looking at something similar, three to four new plants a year
Matt McCall - Seaport Global Securities LLC: Three to four new. I'm assuming that goes – it's the cost of goods line. Have you talked about the total investment this year and the way we should think about that?
Peter Jackson - Builders FirstSource, Inc.: Well, certainly, the manufacturing facilities do have a higher component of COGS, but you also have incremental SG&A with that when it comes to the management and drivers and the delivery cost of those facilities are down in SG&A.
Matt McCall - Seaport Global Securities LLC: Okay. Any quantification similar to that $5 million to $6 million that we talked about for people, for the sales force?
Peter Jackson - Builders FirstSource, Inc.: Year-to-date, I think it's about $2 million to $3 million, so probably $3 million to $4 million on an annual basis.
Matt McCall - Seaport Global Securities LLC: Okay. All right. Thank you. And then, last question I had. The outlook you gave from kind of an end market perspective, R&R, single family, multi-family, that was helpful. The question I have is really on R&R. To Floyd's point, Alaska had a bit of a drag. How should we think about all-in? So you said 3% to 4% growth to R&R next year. Maybe that was – was that a market comment and you guys are going to see a little bit of pressure because of the exposure to Alaska or was that kind of an adjusted number?
Peter Jackson - Builders FirstSource, Inc.: I think we'll probably still see some drag to that number due to Alaska next year
Matt McCall - Seaport Global Securities LLC: Okay. All right. Thank you, all.
Peter Jackson - Builders FirstSource, Inc.: Thank you.
Operator: Thank you. All right. And it appears we have no further questions at this time. Mr. Sherman, I can turn it back to you for any closing remarks.
Floyd F. Sherman - Builders FirstSource, Inc.: Okay. Thank you. I feel very, very excited about the future that we have before us for this company. I'm very excited about what Chad, Peter, the rest of the team are going to be producing in the years ahead, and I can tell you since I am a shareholder and will remain a shareholder, I'm going to be really looking closely to make sure that we deliver on the promise that I know that's in front of us. And I'd like to thank all of you for joining the call today. And since this will be my last earnings call before handing in over the reign to Chad, I'd like to express my sincere appreciation to all of the investing community who have supported us throughout the years. In addition, I'd like to extend my appreciation to all of our associates who've helped us build a great organization, and I'm very pleased with what we have built and look forward to seeing the progress over the coming years. And thank you and have a great finish to the week.
Operator: And this does conclude today's call. Thank you, everyone, for your participation. You may disconnect at anytime and have a great day.